Operator: Greetings, and welcome to Lincoln Electric 2020 Fourth Quarter Financial Results Conference Call. At this time, all participants are in a listen-only mode. And this call is being recorded. It is my pleasure to introduce your host, Amanda Butler, Vice President of Investor Relations and Communications. Thank you. You may begin.
Amanda Butler: Thank you, Michelle , and good morning, everyone. Welcome to Lincoln Electric's 2020 fourth quarter conference call. We released our financial results earlier today, and you can find our release as an attachment to this call's slide presentation as well as on the Lincoln Electric website at lincolnelectric.com in the Investor Relations section.
Chris Mapes: Thank you, Amanda. Good morning, everyone. I'm pleased to report that we ended a challenging year with good recovery momentum and solid positioning for growth in 2021. Lincoln Electric were guided by the golden rule treating others as you would like to be treated. The challenges of 2020 exemplified how we live our values and lead our company. We’ve remained committed to delivering for our customers as an essential business. We focused on supporting one another internally and executing on our higher standard 2025 strategy to drive long-term value for all of our stakeholders. In 2020, I am proud to report, we achieved record safety and environmental performance. We safeguarded wages, benefits and bonus programs to minimize the impact of COVID-19 on our employees. We amplified our community engagement and outreach. We were recognized for our initiatives and our culture, being named as a top global employer in 2020. And we're again named as one of the world's most ethical organizations by Ethisphere. Turning to Slide 4, solid recovery momentum, often April trough resulted in a 12% decline in 2020 organic sales by aggressively deploying our Lincoln cost savings playbook early in the year and executing on planned permanent cost reduction initiatives. We achieved $88 million of cost saving benefits. These actions combined with lower incentive compensation, largely offset the impact of lower sales. Our adjusted operating income margin compressed 50 basis points to 12.4% in 2020.
Gabe Bruno: Thank you, Chris. Moving to Slide 7, our consolidated fourth quarter sales declined 5.8% as a 2% benefit from price was offset by 7.6% lower volumes and 20 basis points of an unfavorable impact from foreign exchange. Our gross profit margin increased 30 basis points to 33% as benefits from cost reduction actions and price management offset lower volumes. Price cost was positive in the quarter. Our SG&A expense declined 8.7% or $13 million, reflecting savings from cost reduction actions, which was partially offset by approximately $3 million in higher incentive compensation. SG&A as the percent of sales decreased 60 basis points to 19.7%. We expect 2021 SG&A expense to increase due to higher wage and incentive compensation. Reported operating income increased 90 basis points to $83.4 million or 12% of sales. Operating income results included $9.5 million of rationalization charges, excluding special items adjusted operating income increased 1.5% to $92.9 million or 13.4% of sales, a 100 basis point increase versus the prior year. Adjusted operating income benefited from $28 million in cost savings. Our fourth quarter effective tax rate was 19.8%. Due to our mix of earnings and discrete items, this compares with 20.6% in the prior year period. We expect our full year 2021 effective tax rate to be in the low-to-mid 20% range subject to the mix of earnings and anticipated extent of discrete tax items. Fourth quarter diluted earnings per share increased 4.9% to $1.08 compared with $1.03 in the prior year. Excluding special items adjusted diluted earnings per share increased 7.8% to $1.24.
Operator: Ladies and gentlemen, at this time, we will be conducting a question-and-answer-session.  To prevent any background noise, we ask that you please place your line on mute once your question has been stated. To ensure that everyone has the opportunity to participate, we ask that you ask one question and a follow-up question and then return to the queue. Our first question comes from the line of Saree Boroditsky with Jefferies. Your line is open. Please go ahead.
Saree Boroditsky: Hi, good morning. So you give guidance of high single-digit growth in 2021. We appreciate that. But could you just help us understand how much of this is price versus volume? And is this guidance pretty similar across the segments? Or is there anywhere where you see higher or lower growth?
Gabe Bruno: Yes, Saree nice to speak to you today. Inherently we are -- as Chris mentioned we did announce some price increases but at this point we expect most of that high-single-digit growth to come from volume increases. And as we progress through the year as you know we troughed in the second quarter so we'll see more accelerated growth here and during that timeframe where we're anniversarying the impact of the pandemic. But that's the profile of where we see growth for this year.
Saree Boroditsky: So as you put in price -- additional price increases, will that be upside to your current guidance?
Gabe Bruno: Yes, it would be.
Saree Boroditsky: Perfect. And then just one last thing on cash you put out guidance for over 90% cash flow conversion in 2021. I know you're coming off a strong cash generation year but you typically average closer to 100%. So is there any reason that you would expect to see less than that in 2021?
Chris Mapes: Saree, this is Chris. And look, I think the real challenge that we see with it is really twofold. First is it's not uncommon when we're migrating into this point in the cycle where we see this type of growth that we're actually utilizing more cash to be able to support that growth within the business. And then the second element which is really driving maybe a slightly more conservative model on cash as we look at 2021 is that these supply chain challenges that are out there in the marketplace and we believe that those are going to exist for a considerable period of time. And because of that we've set directions out to our operating units around the world to ensure that they're doing what they can to make sure our supply chain is resilient and that we have the parts and components and products that we need to drive our solutions to the marketplace, which probably will also increase some of our inventory levels throughout various times through the year and at this point in time we just don't have great visibility. So as we've thought about our cash utilization for the year, really, those are the two drivers. Not uncommon for us to be slightly under the target at this point in the cycle and servicing growth and then the challenges with the supply chain have made us even a little bit more conservative.
Saree Boroditsky: I appreciate the color.
Gabe Bruno: Saree, I'm just going to add, we ended the year at 5 days -- about 5 days more in inventory and that's intentional. And as Chris mentioned, there's just so much uncertainty in dealing with the pandemic and also supply chain risks that we feel it's wise to continue to maintain higher levels of inventories.
Saree Boroditsky: I appreciate the color. Congratulations on the quarter. Thanks.
Operator: Thank you. And our next question comes from the line of Rob Wertheimer with Melius Research. Your line is open. Please go ahead.
Rob Wertheimer: Hi, good morning all.
Chris Mapes: Hey, Rob.
Rob Wertheimer: I know this is a tumultuous year and you all managed through it very well. I wonder if you can speak to the underlying progress in international/Europe on whether you think you're gaining traction there on maybe market share dynamics or otherwise? Just -- how you how you think that's come along and looks the next couple of years? And maybe just to even broaden out a bit, how much of the -- know the operating system that makes you guys so special. It's ported over Europe and Canada. And I'll stop there. Thank you.
Chris Mapes: Yes look, thanks for the question Rob. I would say I'm just enormously proud of the progress that our teams have made in the international business and especially in the European business over the last 12 to 24 months. I think that because of the deliberate approach that we've taken there we had already started to work on a host of structural cost improvements in that market and that was pre-pandemic and then certainly those cost improvements assisted us as we were moving throughout 2020 with the performance of the business. That team is still very focused on driving double-digit operating profit levels of performance. And we've said for a while that that was our target. And then once we set that target we'd be talking to our shareholders about our next step as it relates to the Higher Standard 2025 strategy for that business. We've made good progress and as I think I've said on the call over the last few quarters that progress has been made in many areas of the business. The most important focus for us has been in the customer service metric. And what are we doing to ensure that we have the solutions in the right place for our customers across that broad portfolio, across those markets. Even during the challenges of the supply chain with the pandemic our customer service metrics in both are consumables and equipment portfolios stayed very resilient. And we want to make sure that that market knows that we're there for them as their supplier of choice. To your question is -- are we starting to regain share in the market? I believe for a long time that share doesn't shift quickly. It's something that you need to go capture and then you need to be able to hold on to. And that'll show up over a longer set of quarters as it relates to our International business. But I'm confident that they're performing well and that we're on the right path with improvements in international.
Rob Wertheimer: Okay, thank you for that response.
Operator: Thank you. And our next question comes from the line of Nathan Jones with Stifel. Your line is open. Please go ahead.
Nathan Jones: Good morning, everyone.
Chris Mapes: Good Morning.
Gabe Bruno: Good morning Nathan.
Nathan Jones: I just wanted to follow-up on a price cost equation here. Digging back to 2018 and if I recall correctly there was a lag between pricing getting through and costs going up. And some short-term margin pressure there. Is that something that you maybe expect to see over the next quarter or two or have there been more proactive price increases taken this time than there were last time? And if there's anything that's changing your pricing model that allows you to gain that pricing more quickly now than you did a few years ago?
Chris Mapes: Nathan, we've been very good historically at managing price cost. But I agree with your assessment that quite frankly many times there has been a lag by a quarter or two in that recovery and I would share with you that I believe that the risks associated with that are pretty significant as we think about the business moving into 2021. And it's not so much about the cycle that we saw in 2018 but I'll take you a little further back to maybe the cycle that many of us managed through in the early 2000s and 2004 where we see rapid escalation in raw material costs, freight costs, packaging costs and it's really coming in from a host of areas within the business. And it's really probably going to be one of those cyclical environments that might require multiple activities from a commercial perspective to address that, which also then creates more challenges associated with lag. But look, I've got great confidence in our team and our ability to understand those issues and the ability for us to ensure we get recovery and that we perform in that cost price analysis. But I do think as it relates to the lag there'll be some challenges that we'll be working through throughout the year.
Nathan Jones: Fair enough. And then my follow-up question on the Automation business. You guys have been pretty clear that the second half of 2020 was going to be challenged just based on patents earlier in the year talking about increased orders now to drive growth beginning in the middle of 2021. Can you talk a little bit more about the velocity of things moving through the automation pipeline? And any impact that you would expect that to have or that lower automation revenue had on margins in the fourth quarter, please?
Chris Mapes: Well, it certainly was a drag on our margins in the fourth quarter in our Americas business. But I would tell you that as I think about the order improvements we saw in the fourth quarter, it was a solid quarter for our Automation business in orders. I'd like to see us begin to continue to replicate that as we're migrating into early 2021s. I do think that the further removed we are from the economic disruption of Q2 with the pandemic where many people saw a significant drop in their business results and probably many people had made decisions around conserving capital that the further we are removed from that and as we begin to see what I believe Lincoln Electric will see with the organic growth driving back into the industrial markets. And that automation business for Lincoln Electric is very central to the North American market that we'll begin to see more capital spend and really believe that that business has troughed out in the back half of the year and in Q4 and like the order results that we had in Q4. So I think positive signs as we had expected with the business and now we just need to see some continuance of that activity -- in that order activity as we're migrating into the early parts of 2021, but a lot of positive signals.
Nathan Jones: Could you share the auto growth in automation in fourth quarter?
Gabe Bruno: I'll just comment, Nathan. So it was a step change to the positive. Choppy though, you still have activity that's choppy but I would just expect that we'll see contributions to the revenues by mid-part of 2021. We have a lag in our Automation business of between three to six months, but we're pretty optimistic on what we see.
Nathan Jones: Great, thanks for taking my questions.
Operator: Thank you. And our next question comes from the line of Chris Dankert was Longbow Research. Your line is open. Please go ahead.
Chris Dankert: Hey, good morning, guys.
Chris Mapes: Hi, Chris.
Chris Dankert: Kind of sticking on automation, I'm curious is there any -- when you're looking at the order book and kind of what's percolating now, are there any opportunities or orders outside of automotive? I mean have we seen heavy industry come back to the table or are there other opportunities to kind of chase down or it's really still very automotive-centric here?
Chris Mapes: Chris, I think that's really going to be one of the interesting dynamics associated that comes out of the pandemic. I really think the pandemic is going to challenge many industries maybe beyond the concentration that we've traditionally seen in automotive to really start to expand into the automation field because the challenges associated with keeping employees safe, the challenges associated with supply chains which have been just exacerbated with the pandemic impact all industries. And I will tell you that our order book improvement in Q4 was not automotive-centric relative to increases that we had. Matter of fact, a couple of very large projects that we had were non-automotive. So we are seeing that divergence from just seeing more of that activity around automotive. Automotive still strong for us, I don't want to imply that there's not automotive in the book, there is. But quite frankly we're continuing to see that and I believe as we see improvements in the heavy industry market that that general industry's piece will continue to climb as we move through 2021 and 2022 also. Those particular industries have always been prevalent in automation and I think that they'll start to recover as they make improvements in their CapEx spending moving in the early part of the cycle. But again, I think the pandemic and the disruption of the pandemic is only going to amplify the utilization of automation across the broad industrial segment space and probably over the longer term minimize the concentration that businesses see today around automotive in automation.
Chris Dankert: Got it. Thanks so much for that.
Gabe Bruno: I'm going to say Chris, maybe just to add to what Chris just said. If you remember that the heavy industry cycle kind of peaked down early part of 2019. And we kind of went through the cycle throughout the year and then the pandemic hit so that pullback on capital investment. But as you are monitoring the markets there is just more favorable expectations to progress in the heavy industries throughout 2021, you look at Ag, mining, construction. And so we're optimistic in the back half of the year and more so on where heavy industries could turn. But still it will be comparing kind of the low part of the cycle when you go back to 2019.
Chris Dankert: Got it. Got it. Yes, thank you so much for the color. I mean this sounds like that there's very interesting opportunity out there besides auto. So yes, glad to hear you are on the same page. I think I guess heading into the first quarter here, lot of moving parts. Obviously, we've got the $5 million to $6 million from temporary costs rolling off from what you guys did in 2020 kind of offset by the permanent savings you've been executing on all throughout the year. I guess can you kind of level set us on what you were looking for in terms of SG&A costs into the first quarter? Do we kind of come back into that low mid-40 -- $140 million range at this point?
Chris Mapes: Just, Chris I think about it more broadly than that. When you look at our trends and the impact of structural changes, I mean we're at that $12 million run rate. Last year's first quarter we didn't have any permanent cost savings in the first quarter. And then on a temporary side -- we had just close to $6 million. So we'll have less temporary savings in the first quarter. But I'm really going to start migrating our conversations into incrementals. So we should stay with the operating in the pandemic environment. So we'll continue to maintain a level of cost savings into the first quarter. But really as we look into the full year, looking at incrementals as we've highlighted that mid to high-20s with some noise throughout the quarters with all the comparables being choppy compared to 2020 quarters.
Chris Dankert: Understood, well, thanks so much for the color. And best of luck, guys.
Gabe Bruno: Thank you.
Chris Mapes: Yes, Chris, just as a follow up to that first question on automation, I mean one of the advantages that Lincoln Electric has with our balance sheet profile is, look, that automation business, not am I -- only am I happy to start to see that we believe we're migrating toward growth, but it's an area that we still want to invest in. And when we look at our Higher Standard 2025 strategy that's a business that we want to continue to identify acquisitions, identify other growth markets for us to be able to continue to build out that business. So I think it can be a catalyst for us as we're moving through '21 and '22.
Chris Dankert: Exciting stuff. Thanks again.
Operator: Thank you. And our next question comes from a line of Mig Dobre with Baird. Your line is open. Please go ahead.
Mircea Dobre: Good morning, everyone. Thank you for taking the question. I want to go back to your comments on pricing and the fact that the guidance doesn't seem to embed a whole lot of pricing upside. And frankly, I guess I'm wondering why that is at this point, right? I mean it's pretty clear that raw materials are going off. So Chris you talked about 2000. I mean the 2000 you guys had fantastic pricing and that was high-single-digit pricing. So I guess, I'm wondering is it simply a factor of conservatism and the way you are structuring the guidance or is there more uncertainty than normal in the way you're kind of thinking about your ability to push prices?
Chris Mapes: Well Meg, first, thanks to the question. Look, I can assure you it's not any lack of confidence in our ability to drive recovery of cost pressures within our business. I think we've got historical ability to show that our model is very effective at that recovery. Again at times there are some lags associated with it but we're effective in being able to manage it. As it relates probably more directly to your question, I would tell you that we're early in that cycle. As I mentioned in my comments, I'm beginning to feel like this is like those early 2000s. And you may -- we may see multiple challenges associated with commodity and other structural cost increases that have to be addressed in the business. And we're certainly at the early portion of that. We have had some of those cost increases hit us. We've started to address those in our markets globally. And as I said, having discussions about further activities so confident that and confident that we believe we'll be able to recover those costs over the duration of 2021, but certainly not at a level to provide any guidance or discussion around the effectivity of that other than the confidence that we believe we'll be able to cover that cost increase as we're managing the business in 2021.
Mircea Dobre: Thank you for that Chris. But to clarify here and maybe a bit is the competitive environment is different as far as you can assess it. You think your competitors are going to take a similar approach to?
Chris Mapes: Look, I really have -- I really have no idea. I have no concerns over our ability to execute on our strategy from all of the information that I review out in the markets everything from the steel market and public steel pricing and what we're seeing on ocean freights and air freights and the wage improvements there will not be industrial companies that will be able to hide from the fact that there are inflationary pressures. So I'm not aware of there being any structural or dynamic changes in our markets from other times when we've had to address these issues. And again, most importantly, a great confidence in the Lincoln team and the Lincoln process and going out and being able to work with our customers and recover those costs in the business.
Mircea Dobre: Understood. And then my follow-up maybe for you Gabe, so out of the $88 million of cost savings in 2020, you outlined here that about $64 million were temporary. As we're looking at this slide though, you're only kind of calling out $25 million of -- or rather $27 million of labor cost headwind. How should we think about the rest of those temporary cost savings reverting? Is that baked into the guidance somehow or is that something that happens down the line and further year? Thank you.
Gabe Bruno: Yes, Mircea. Sense really, will be responsive to how we see markets rebound, right. So that's why we anchored an incremental conversation aligned with growth, temporary savings as we go into second, third quarters and anniversary, and we'll see that dynamic of how we restore that which will be dependent on activity in the market.
Chris Mapes: So that's why we come back to an incremental conversation with -- to volatility quarter-by-quarter that we saw in 2020.
Mircea Dobre: Okay, so on that you have more control in terms of how those costs come back into the business, and they're more volume.
Chris Mapes: Yes.
Mircea Dobre: Undersood. Thank you.
Operator: Thank you. And our next question comes from the line Dillon Cumming with Morgan Stanley. Your line is open. Please go ahead.
Dillon Cumming: Great. Good morning guys. Thanks for the question. I just wanted to start at a high level. Chris, so you kind of alluded in the fact that you've seen several of this industrial cycle at this point. And I guess I just wanted to ask you another returning to an environment of year-over-year growth next year. How would you describe the breadth of kind of the recovery across your end market mix in this cycle versus the other ones? And I guess I am just looking at some of your comments in terms of energy being a bit weaker, construction that kind of saw a bit of a tone shift quarter-over-quarter. So, just wondering if you can talk about kind of how broad based the recovery is that you're expecting in 2021?
Chris Mapes: Oh, I think it's going to be broad. I mean, I think we're seeing -- I think when you hear from Lincoln Electric that we were talking about growth sequentially across all geographic regions and seeing a continued improvement across our segment base. That's a very positive statement. And as much as oil and -- we talk about oil and gas. Let's remember that oil and gas as much as it's certainly not in a growing element of the business. We've seen stability in much of the marketplace. We've seen now oil stabilize out in the higher $50 range per barrel. We've seen stability. There are some discussions around whether there'll be an increase in demand there as we start to see broader growth across the markets. So, I wouldn't want to imply that that market is compressing. It's just probably not migrating in the way that we would like to see it from a growth perspective. I think you're going to see a real push in heavy industries. I think that we're at a point in the cycle for reinvestment in mining, in ag, in construction. We are not talking about -- in today about whether there will be an infrastructure package in the U.S., which would be yet another catalyst associated with potential growth. But when I look at the business I see geographic growth. I see multiple segments that are moving positively. I've seen two or three quarters of sequential improvement. Those are the dynamics that when -- I see those things lead me to confidently talk about the fact that it's a pretty broad base of growth verticals that should support our perspective on organic growth for 2021.
Dillon Cumming: Okay, great. That's helpful. Thanks Chris. And maybe just switching over to the balance sheet real quick -- 2020, I think comes under first year in a while since -- I think several years that you hadn't kind of completed any M&A, which is certainly understandable. But I guess in the context of some of the 2021 capital allocation priorities you laid out, it didn't look like M&A was kind of one of the top three priorities that you mentioned. So I guess, thinking about next year, can you talk a little bit about your willingness to maybe revisit M&A? Is that still going to be a part of the strategy? I know you're kind of seeing attractive opportunities out in the marketplace today.
Chris Mapes: Yes, Dillon, I would share with you that M&A is always at the top of our capital allocation strategy. So we obviously want to have the capital to invest within our business. We're very committed to our dividend for our shareholders. But before we get into capital allocation vehicles like share repurchases or other items let me assure you we're always looking for acquisitions and our Higher Standard 2025 strategy specifically discusses our ability to execute on quality acquisitions that bring more solutions to our market place and we're actively looking. We haven't slowed down any of that process even during the pandemic. But as you can imagine that level of disruption has some individuals who might have thought that they were wanting to migrate forward and change their business by selling their business, might have paused. But we're actively engaged with all of our businesses within Lincoln Electric and looking for those solutions and would love to execute on some acquisitions in 2021.
Dillon Cumming: Okay, great, very helpful. Thanks for the time, guys.
Operator: Thank you. And our next question comes from the line of Walt Liptak with Seaport Global. Your line is open. Please go ahead.
Walt Liptak: Hi, thanks. Good morning. Good quarter. I wanted to ask about just some of the recent trends in automation. As we turn the calendar some capital budgets could be picking up and I wonder what the orders for automation looks like early in the year?
Chris Mapes: Yes, Walt, we agree with you that what I read out there on the capital spending side, I believe we are going to see some improvements in capital spending in 2021. Again the order trends were very favorable as they migrated into Q4. We've talked about that. We've seen broad consistent improvement across our demand portfolio as we're entering into 2021. We've not broken out any particular region or business as we're talking about that just that we've continued to see improvements in those demand trends. But I believe all the catalysts for their -- continue to be investments in automation are there. Our business is well-positioned and believe that we are starting to see and should start to see really a structural improvement in growth in that area of our business as we're moving into 2021.
Walt Liptak: Okay. All right. Thank you. And kind of a similar thought on the channel inventory. I wonder if we're starting to see the distributors build back some inventory. It sounds like you're building some safety stock in working capital. I wonder if you're starting to see that in the channel yet?
Chris Mapes: Yes. I can't necessarily point Walt that we're seeing it yet. I think there's still a lot of disruption in the supply chain. There could be pockets of it, but I can't say broadly that necessarily that has started to occur. But we made a strategic decision back in March of 2020 as we were starting to get more visibility into the challenges of COVID-19 and the pandemic. And globally back in March we told our teams to ensure that they made product, if we had individuals and the components there to be able to make our products and increase our inventory levels. And I continue to support that strategy. I think that helped us minimize issues for our customers. As Gabe said, yes, we're entering 2021 with a higher inventory per day level than what we have historically, but I think that's a good utilization of our balance sheet in the market right now. And as this demand moves back into the marketplace and if there are challenges with the supply chains, Lincoln Electric will be in a better position to be able to execute on our strategy and service to our customers.
Walt Liptak: Okay. Yes, it makes sense. Wanted as to know about the share repurchase and I may have missed this, but can you review with us the size of the authorization that you have for share repurchase?
Gabe Bruno: Yes, we have a total lot about 11.5 million of shares authorized and we will be in the market and as we saw we're not suspended in terms of share repurchases, our maintenance level of spend is somewhere around $50 million and so that's part of our capital allocation strategy and we remained disciplined with that.
Walt Liptak: Okay. Does that mean you'll be opportunistic or do you think you'll be in the market, that this year will be a bigger year for buybacks?
Chris Mapes: Yes, well, we're really not targeting a particular amount. And part of it has to go with an earlier question. I really want to make sure that we're looking at allocating our capital toward acquisitions. And as we're doing that and hopefully we're executing that in 2021, we can apply more of that capital toward that. We certainly will be back in the marketplace from a share repurchase perspective. I certainly would expect us to be at a minimum out there making sure that we don't have dilution relative to the incentive compensation, utilization of shares but we're not targeting a particular amount as it relates to our 2021 budget. Again expecting and wanting to execute on more acquisitions and investments in the business as we're moving through the year.
Walt Liptak: Okay. Makes sense. Thank you.
Operator: Thank you. And our last question comes from the line of Steve Barger with KeyBanc Capital Markets. Your line is open. Please go ahead.
Steve Barger: Hey, good morning, everybody.
Chris Mapes: Good morning, Steve.
Steve Barger: Chris, appreciate the comments on general growth and specific international improvements. Just looking at margin there it's been around 6% for quite a few years. So is the walk to double-digit a steady progression from here of say 100 basis points per year or more of a step function as volume picks up to the point where you could get there in 2022 maybe?
Chris Mapes: Look, I think that -- I would say two things Steve. One is I would point you back toward our Harris business. So when, we were in front of our investors several years ago, we said we were going to make steady, consistent, structural improvements for that business to improve that margin profile. And that was more of a year-over-year improvement in the business and we executed on that. And I think that business is a high-performing operation for us now in the Lincoln Electric portfolio. As I think about our International business, I would tell you in the short term over the next 24 to 36 months, I am actually looking for a little bit more of a step change because of some of the aggressive structural actions that we've taken in that business. But then I think what you'll see from us is then very quickly getting into a consistent, I think about it as kind of an operational flywheel approach where quite frankly, we're just making that business a little bit better every year. So, it's almost a little bit of a hybrid approach. I do think we have a little step opportunity in the business over the next 24 to 36 months. But then I think you'll see us generating consistent improvement in that portfolio longer term when we get it to our longer term targets for the International business.
Steve Barger: Got it. Thank you. And part of the Higher Standard 2025 strategy is to expand differentiated solutions. When you think about that organically, is that primarily driving efficiency or output quality into existing products, or does the R&D group have anything that's truly new or something that can get you into a new category?
Chris Mapes: Oh, I would tell you both, Steve. I think that there is an opportunity for you to enhance the solutions that are currently there as our customers continue to identify other ways that they're looking to make improvements in their fabrication technologies. But if you also just look very quickly even at the last year or two at Lincoln Electric; look, we brought some new solutions to the market place whether that's our HyperFill product, which is new twin wire technologies that really no one else in the world is operating or the new PIPEFAB product that we brought to the market place. I can go down a list of new solutions that are there and let's not forgot and it's in the very, very early innings. But we're investing in that additive space for something that I believe can be important to the business whether that's two, three or five years out. So we've got an R&D strategy that not only enhance current technologies, but identify new solutions as well as potential longer term breakthrough solutions that might allow us to continue to migrate into other markets. Look, as a very small side comment, one of the exciting things about our additive business, which is still very, very small inside Lincoln Electric, very de minimis from a revenue basis. But quite frankly recently, we've had some very interesting products and solutions that we've been delivering into the space market, a market that quite frankly we had very little visibility to over the last few years. Again that's a really small piece of the business but as it relates to your question where we're trying to develop solutions and processes to enter into other spaces or other areas of markets.
Steve Barger: That's really great detail. Thank you. And then well, I guess as you transition back to growth in 2021, are there any other takeaways you have from the automation and how that performed in the downturn? Anything you can do to mitigate cyclicality there?
Chris Mapes: So, I think there are some things; Mike Whitehead who runs that business for us is doing a really nice job of trying to leverage across that portfolio. So one of the things that we've seen is that quite frankly when we have large projects how can we ensure that we have the processes and tools in place for our controls engineers to be able to work on multiple projects across multiple businesses at any point in time. How can we ensure that as we're servicing our customers we're also leveraging as we're servicing our customers we're also leveraging the various groups within Lincoln Electric? I was at an automation site just in the last six months and we had four or five of our automation businesses that had resources at that site working with that customer on the solution. That wouldn't have been that way a few years ago, so some of those things are certainly emerging. I know Mike and his team have some other ideas to continue to make improvements in the automation business to minimize the impacts that we can have in the cycle. But I'll also share Steve, that when I think about automation business because of the criticality of some of the human capital requirements unique to automation that when I think about the business it's always going to be the one that probably performs a little bit more challenged in a down economic cycle versus consumable versus equipment. But we have made improvements and think we can make some more improvements as we're moving that business forward.
Steve Barger: Understood. And since I'm last on the call just squeeze one more in. Gabe going back to the organic framework of up high-single digits, much easier comp in the Americas -- and obviously some of the positives from automation that we've talked about. Should we expect that translates into double-digit growth in the Americas versus a single-digit for international or just how should we frame up growth in the two segments?
Gabe Bruno: Steve, I'd like to just stick to the consolidated view on organic increases -- and yes, you're right that the automation improvements that we kind of see in mid-2021 will provide us some upside within the Americas segment. We want to stick to that overall framework.
Steve Barger: Got it. Thank you.
Operator: Thank you. This does conclude the question and answer session. And I would like to turn the call back to Gabe Bruno for closing remarks.
Gabe Bruno: Thank you, Michelle. I'd like to thank everyone for joining us on the call today and for your continued interest in Lincoln Electric. We look forward to discussing the progression of our strict strategic initiatives in the future. Thank you very much.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. And you may all disconnect. Everyone have a great day.